Martin Fewings: Thank you. Thank you joining us today for our first half 2021 results. Presenting today will be Gary Nagle, CEO; and Steven Kalmin, CFO.  Without any further ado, I'll hand over to Gary to start today's presentation.
Gary Nagle: Thanks, Martin. Hi, morning, everybody on the call, good afternoon, good evening, wherever you are in the world. I'm particularly pleased to present a very strong first half financial performance. As you'll see on our first slide, we've printed some record numbers for our company for a half year, an adjusted EBITDA of $8.7 billion and an equity free cash flow of $5.4 billion. And that's a testament to our continued focus of our value over volume, which has certainly contributed towards a very strong financial result. We've seen materially higher commodity prices across our portfolio, resulting in a very strong cash generation within the business. As a result of that cash generation, you'll see that our net debt is now printed towards the lower end of our range. The range that we've always put out is the $10 billion to $16 billion of net debt, coming in at the low end of the range of $10.6 billion, which is particularly pleasing and allowing us to provide additional top-up dividends, special dividends to our shareholders above our base of $1.6 billion, an additional $1.2 billion special dividend to our shareholders. That dividend is split between a cash distribution of $0.5 billion, and the remainder is a buyback over the course of the remainder of this year. Our Marketing business has been particularly strong as well with $1.8 billion in the first half of the year. As you would have seen from our half year production update, we're guiding the top end of our range for the remainder of the year. Our guidance is normally $2.2 billion to $3.2 billion of Marketing EBIT for the year. So we're guiding towards the top -- to the top end of that range for the full year 2021. The pleasing -- another pleasing part of our strong Marketing performance is we've seen a real broad-based performance across our commodities, each commodity performing particularly well, no single one really outstripping the others. So it's been very pleasing in that sense, and conditions remain very favorable within the Marketing division. Turning to our ESG scorecard. And it's been a very strong first half of the year in terms of ESG, and we presented a very strong scorecard here. Safety, unfortunately, we have lost one of our colleagues this year, an unacceptable outcome for us despite improved metrics across the board. That still is unacceptable to our business. And we continue our unrelenting focus to become a fatality-free business. As part of that, we are rolling out our relaunched SafeWork program. That program is -- the relaunch has been successful. There's still some way to go, and we are seeing some green shoots in terms of the new program that gets -- that we're rolling out. On the environmental side, we have a sector-leading approach. As everybody knows, in terms of our climate change strategy, it encompasses our Scope 1, 2 and 3 emissions, which does separate us from -- apart from some of our competitors and peers within the industry. We've revised our targets recently. We've now put out a short-term target of a 15% reduction in all our Scope 1, 2 and 3 emissions by 2026. We've increased our target for our medium-term target of 2035 from 40% to a 50% reduction, and that is in accordance with the Paris Accord, the 1.5-degree scenario. And we maintained our net zero ambition by 2050. With respect to -- on the governance side of our business, we have launched a newly refreshed code of conduct, which has been worked on over the last couple of years. And we continue to work on a very strong compliance program. We believe we have the best-in-class compliance program that focuses on ethics, compliance and ensuring we run our business as a responsible operator. We've also had a very successful transition in management. As you know, I've taken over from Ivan effective 1st of July. Tony Hayward has stepped down and been replaced by Kalidas. And the new management team is operating well successfully, and the business is well set up for the second half of the year. With that, I'll turn over to Steve on the financial results.
Steven Kalmin: Thank you, Gary. And likewise, good morning and good afternoon or evening to those on the call as well. Many of you that have been following Glencore over the years, some of the slides would be very familiar in terms of format and content, allow for historical performance validation as well as giving the building blocks around our expected performance going forward, particularly reflecting the macro world as well as our production and cost operational statistics as we have. In terms of some highlights, Gary covered it on Page 7. But clearly, the most important number which we do focus is the adjusted EBITDA. That was up 79% to $8.7 billion. It was a half year record. I expect it will be short-lived as a half year record as we move forward over the next 12 months. That does allow the business -- everything hangs off that. That ultimately translated into an equity free cash flow of $5.4 billion, the key driver of being able to deliver and driving net debt down to $10.6 billion as of 30 June 2021, and allowing some top-up distributions, which we'll talk about later on, and paving the way towards higher payouts as we look beyond the current period as well. If we go on to Page 8, that's our Industrial makeup today, increasingly, obviously, a larger part of our business. It's the most exposed to the cycles and the upside in prices as well and just where one is set out in portfolio allocation and portfolio mix. We think we have the right commodities as well set up for some of the future emerging themes in economic development and energy transition as we do have. So the Industrial business was up 152% to $6.6 billion. This is against first half of 2020. You can see bottom right of that graph the transition or the trajectory from first half 2020, second half 2020, then there was an improvement post the most COVID-affected first half of 2020. So we moved from $2.2 billion last year; first half, $5.2 billion; we had a nice progression, $6.6 billion now. And if we look at our spot annualized EBITDA, which we'll look at later on, that's running at $18.8 billion for Industrial part of our business. Half of that or just looking at the 50% piece would be $9.4 billion. So as we look forward, this should be a continued, based on current macros, a continued increase. If we would deliver 50% of that on our spot illustrative, that would be another 42% pickup within our Industrial business. And particularly, that would come in the energy side. That's where we've been lagging in terms of coal prices, and you'll see that on a slide later on. So strong performances and strong EBITDA margins within the metals at 44%, the overall industrial at 38%. Looking at the waterfall from last half 2020 to here, it's been primarily a price story, as you would expect, and you would see that across the sector as well, $4.4 billion pickup, broadly spread. Most of it was in the metals during this particular period. Energy is lagging, and we're going to see that both on the coal and the oil pickup as we move forward into the second half and into next year. Of that $4.4 billion, $2.3 billion came in our copper business. We'll see individual slides later on, which will make more sense. Within our copper business, also have some of the byproducts, particularly cobalt, and we've seen some improved pricing there. Our zinc business on pricing added $0.9 billion; nickel, $0.4 billion. And coal, within that $4.3 billion, is lagging but still up $0.5 billion. But our overall coal business was broadly flat for the year because we had some of the FX headwinds in particularly South Africa and Australia. The volume was a slight pickup at $0.4 billion, half of that was Antamina operation during the year, which was quite affected within the extended COVID mandatory shutdowns last year in Peru during the April, May, June period. So a strong additional contribution from that particular operation. The rest of it was smaller ups and downs, creating a net $388 million pickup. Cost, Gary mentioned some of the delays at Koniambo, which we expect to restart the second line within the next sort of month or 2. But there was additional costs due to the maintenance and repairs of that particular operation contributing part of the increase in cost and FX. As you would normally expect in higher prices, you get the stronger dollar coming through there. And that affects our cost structures, particularly in South Africa, Australia, a little bit in Canada as well. If we go into the individual slides, copper on Page 10, this represented 45% of our EBITDA for the first half. Production was slightly up, as you can see, period-on-period. The big increase was both pricing and cost in this business that allowed us to deliver $3.9 billion EBITDA. The big turnaround in proportion of any and absolute terms was the African copper business, something we highlighted a few years ago, and the ability to turn around cash flow in this business around some of the focus assets. There was $0.9 billion turnaround in African copper. Clearly, most of that has to do with the Katanga. And we'll be looking at recommissioning Mutanda. It's underway. And as Gary mentioned, that's something towards the end of the year that we'll look to update at our Investor Day in December on some updated future cost structures, CapEx and volumes to bring that operation back. And more importantly, the ramp-up profile of bringing copper and cobalt and mindful of the particular markets that those products would clearly go into given the discipline around value and volume as well. The cost structure for our copper business is down to $0.85 for the first half. For a full year, we're looking at $0.80. So that's where -- that's part of the reason for a tick-up in full year illustrative guidance as well for copper. And that's the exact cost structure we guided in copper earlier this year at $0.80. A key contributor going forward will be additional cobalt units as Katanga, that was the later part of its ramp-up journey was some of the cobalt circuit. There will be a significant pickup H2 of H1 as well as the pricing of cobalt has also improved. In terms of a spot illustrative, off to the right, you can see $8.6 billion annualized for copper. We'll get into all the details of all the divisions later on in Pages 21 and 26, but that's part of an overall business at $21.8 billion EBITDA, generating $11.5 billion of free cash flow at current spot macros calculated with buildup in the normal fashion that we do as well. So copper business performed well across all its metrics during the first half and going forward. The zinc business, if we look on Page 11, that contributed 16% of our EBITDA. Production was up period-on-period given specifically some of the Q2 last year, LatAm suspensions and COVID-related production impacts, particularly in Peru and in Bolivia as well and some of those operations as well. We're looking at roughly a 50-50 H1-H2 production split with our revised guidance of 1.17. Cost guidance, very similar to what we indicated earlier in the year at minus $0.11 for the full year. We're looking to come in at slightly better at minus $0.128. That's very influenced within the zinc business with significant byproducts across gold, silver and lead in this particular business. But given both productions' cost structures in this business, it will pretty much double up for the year, $1.4 billion; on a spot basis at $2.9 billion. We're looking for zinc growth coming into the future. We'll update our scenarios again in 3 to 6 months, particularly as Zhairem ramps up, as we say, to steady state in Q2 2022. If we look at nickel, production-wise, H1 at 47,700 tonnes. That was impacted in 2 areas, one of which was Murrin in Australia. This was a scheduled major maintenance. It happens every 3 or 4 years down there. We take down the operations for 5 or 6 weeks or so. So there'll be a big pickup period-on-period at Murrin. And we're also looking towards the reestablishment of 2 lines at Koniambo towards the end of this month. We have factored in a part of that with assumptions of running for part of H2 2022 on a 2-line operation. That's where you will see a 45%-55% split in nickel production out to 105,000 tonnes for the full year. Cost-wise, we will -- we're holding costs pretty similar to where we said at the beginning of the year, slightly less due to the byproducts as well, particularly in Canada. We get PGM byproducts in cobalt. Murrin, we also get cobalt. So there's both the volume and the pricing benefits from that particular operation. Relatively small share of EBITDA at the moment at 4% for the first half and probably similar for a full year illustrative at $1.1 billion. The key for this business is, of course, growing its production in byproducts. And some of the capital we are spending, it's absorbing quite a big share of the CapEx as we have the major 2 projects in Canada that's extending the life of that particular operation, both at Raglan and at Onaping Depth in the Sebree region. Coal is probably one worth the sort of main focus as this is the key sort of expansion of both earnings and cash flows into H2 and hopefully beyond. For the first half, it was 11% of EBITDA, only a slight tick-up from the first half of last year when coal was still reasonable through the first half of last year. Then you've had numerous COVID effects, demand conditions, displacement also from gas. It was a very tough year into H2. The start of this year was similarly impacted. And we've seen a huge acceleration in pricing, both in the thermal and the coking coal. There's always going to be a lag in the coal business, both in terms of some fixed prices that would have historically been as part of the sort of Japanese annual benchmarks. We rolled through first quarter this year in the 60s. Most -- all of that was repriced into the Japanese contracts. It's not as big a percentage of our overall business, but just that business moved from 60 -- in the mid-60s up to 110. So we were $912 million for the first half. We've put a full year or an illustrative spot EBITDA for this particular business of $5.9 billion, and that's on the 104 million tonnes, and a cost structure of $56 million and a portfolio adjustment of $20 million. You'll see the details on Page 21 or 26 later on. So we -- that would indicate a margin of $57 a tonne on [104], giving the $5.9 billion or close to $3 billion for a half year period. We will significantly be able to -- I mean not all of that is going to be extractable in the second half because we do have now some JPU pricing at [110]. Spot price is, of course, [150] or so at the moment. We've assumed then an illustrative pricing of $6 billion and average Newcastle forward curve at that point of $133. So if we continue at spot prices, obviously, that's -- it's a volatile commodity. It's not as liquid across the various curves. It's performing very well at the moment and generating very strong cash flow at the moment. So we think it's sort of middle of the fairway projection of where spot illustrative is at the moment, not exactly spot being a bit more conservative. But at $3 billion for a half year, we should be able to pick up the, at current spot prices, the sort of substantial or vast majority of that into H2 2021. So there's going to be a significant pickup in our coal business both into H2 '21, which is why I said, I think our record half year earnings for this particular half is going to be fairly short-lived, with the big pickup second half on the coal industrial side. Our volumes were down period-on-period. We'll see a 47%-53% split is what we're looking at in terms of production. We'll see some pickup clearly there. And then what will come to the market in 3 or 4 months' time in December is more looking into our '22 period in particular where we'll be able to bring in the Cerrejón tonnes as well. You would have seen the acquisition of our sort of minority of our partners in that particular business, which although we're looking to close in 2022, we are already economically exposed to those volumes already with the effective date being 1 January 2021. So a big tailwind in this particular business. No doubt, some questions will come from this later on as well. Page 14, we've got our Marketing returns for the year at $1.8 billion. A very strong quarter, as Gary said, very broad-based and healthy contribution and strong participation across the different businesses. 12 months ago, although we tracked down slightly, it was very much an oil story for the first 6 months of 2020 with exceptional dislocation in returns between that particularly.  So in some respects, the $1.8 billion is actually a better print than the $2.1 billion from the previous year. We're looking at a top end of range guidance now at the $3.2 billion. People would say, why don't you just times by 2? This was a very good performance, even $1.4 billion for the second half, which would take us towards the operating -- I mean, the top of the range would -- on an annualized basis, $1.4 billion would be $2.8 billion, which itself is within the top half of our range. So I don't want to get ahead of ourselves too much here. We think $3.2 billion is a sensible target and guidance aims to range at this particular point. But it's nice within that bottom chart on the right just to print another -- print, hopefully, towards the top of the range certainly for the half year and, hopefully, the full year as well around that $3.2 billion, which is where we're looking at the moment. And there were many questions back '15, '16, '17, through those periods, what's it going to take to be that top of the range, which we've held consistently throughout. We're putting some nice data points around that top of the range where you've got conditions and cycles that are supportive of that range. On Page 15, you can see the CapEx numbers. Not much to say on this other than we're tracking quite a bit below the $5 billion, which of itself supports the equity free cash flow for this particular 6 months and, to some extent, help get our net debt to where it is, lower than would have been the case had we spent CapEx at the 50% rate of our $5 billion. So at this rate, tracking much lower, too early to think about whether a number may be lower than the $5 billion. The underlying data, projects, scheduling of work and the mapping of our various assets would still suggest that a $5 billion is appropriate.  We'll have the opportunity maybe at our Q3 production report if there's -- see how we're tracking at that point as to whether that $5 billion needs to be brought in a little bit, but we still think $5 billion is a sensible number to look for a full year CapEx forecast. But we are tracking quite a bit below that at $1.8 billion. You can see the pie chart on the bottom right, most in copper, zinc, nickel and a bit in coal and oil as well within this particular business. Some of the major projects are obviously continuing at the top right. Collahuasi, zinc and the nickel projects are some of the main expansion projects. On the balance sheet on Page 16, probably the highlight of the presentation in terms of getting net debt to the lower end of the range, $10.6 billion. That includes the about $1 billion of marketing leases as well. On a net debt/adjusted EBITDA, we're down to 0.69%. And actually, on a spot basis, we're closer to 0.5%. So very pleased with these outcomes and the strength and the quality of the business in terms of being able to throw off this quantum of cash flow generation within relative short period. So it is showing its strength when the business comes together in all material respects. We had very healthy levels of liquidity at the end of June at $9.3 billion, could have been higher, much higher, in fact, but we actually canceled certain portions of our RCF as being surplus to requirements to save some commitment fees or otherwise, not necessary within the scope of the business as well. In terms of net debt evolution, how do we get to $10.6 billion? We started $15.8 billion at the beginning of the year.  The equity cash flow was the $5.5 billion, as we spoke earlier on, which was $7.3 billion of the FFO, which is EBITDA less tax and interest. Net CapEx, $1.8 billion. We did generate $0.3 billion of non-RMI and other cash flow, $0.3 billion. That's a number, as you know, within the business can be a bit volatile depending on volumes and prices. It was -- 12 months ago, we were speaking about a big outflow, particularly around the oil business with lower volumes, lower prices. Part of that came back. Second half, a little bit is now, but that can turn around not in the sort of extremes of what we saw sort of 12 months ago, but that's -- obviously, we need to keep an eye on. And minus $0.3 billion could sort of very easily in the business turn into a positive $0.3 billion as well. So we're obviously mindful of how the working capital takes shape within the business. There was quite extensive increase in leases. This is primarily in the oil business as it takes on volumes with respect to shipping and various storage within that business as well. So $10.6 billion, how might we see towards the end of the year? On an annualized spot basis, which we'll look at later on, $11.5 billion of free cash flow. That's not easily -- sort of that you can bank that within H2 2021. That's spot prices, spot volume, spot costs and looking at annual taxes, annual interest and annual CapEx. But half of that is $5.75 billion. We said we've got some CapEx catch-up, which if you take the $5 billion, we will need to spend an extra $0.7 billion in CapEx if it was to come to the $5 billion. So broadly, you can think about a $5 billion of equity free cash flow if you look at those numbers during H2. Working capital, we'll see how that develops. Does a minus $0.3 billion turn into a positive $0.3 billion? We always need to plan for some variation in the working capital. We have $2 billion of shareholder distributions or payments going out in H2. We've topped it up with $1.2 billion. We have the $800 million second half, second tranche of the earlier distribution of the $0.06 as well. So that does show us still generating surplus cash flow. We can continue to deleverage through the second half of this year, but we do need to plan for a business that we've been through cycles in our net debt. We don't want that. Now that we're at $10 billion, we want to stay in that, obviously, in that level. So we don't want to be here in 6 months saying $10.6 billion has gone up by X because of prices or some other macros. We want to be a bit conservative in how we've applied our shareholder returns, which I'll talk about later on. We do know that if we -- when we get into February next year that mechanically, we're generating very healthy levels of cash this year. We will have a base distribution next year of high amounts. So if we roll into Page 17, it is the basis of the top-up distribution that we've announced today. We've had our base distribution, the $1.6 billion from February, which is the $0.12. The top-up is $1.2 billion, which is the $0.04 a share, which is we say circa $500 million, but it's $529 million based on the share count at the moment and the buyback of $650 million, so there's the $1.2 billion, giving a full year of $2.8 billion or $0.21 a share. We don't want to be double-dipping or prepaying for what's going to come in February. As I said, mechanically, if we're around the $10 billion, we were $5.4 billion, circa $10 billion, $10 billion or so of free cash flow, equity free cash flow current macros for the year. Mechanically, our base distribution policy, as you know, is going to be $1 billion for next year, plus 25% of industrial fee. So free cash flow, the split of that $10 billion might be $8 billion and $2 billion. So you're going to have a $3 billion base cash distribution coming in February. So that money, we need to start thinking already is coming out in terms of balance sheet allocation. We want the ability and flexibility to continue with buybacks also through that period. So obviously, part of the thinking was to make sure we stay at $10 billion and can progress towards the 100% PAT once we're at that level and then generate through the $10 billion and then pay it out. I don't want to be our $10 billion go to $10.3 billion and then pay out. I want to be going through $10 billion and then we can look towards our payout ratios as we go forward. But we're in the position where, as we said earlier on, we didn't know the pace of the deleveraging towards $10 billion. It's happened much quicker than one might have thought 6 months ago, which is great. And we have the ability through this year and into next year to move the shareholder distributions towards the 100% where we're at. So just in terms of just to close it out, some of the building blocks and details around that second half as well as the annualized free cash flow. Page 19 was just some of the half-on-half production guidance for this year. We'll come out towards the end of the year with where we see the next 3 to 5 years. There's going to be growth in -- I mean, copper, we've got Mutanda to look forward to. Zinc, we've got Zhairem into the future. Cobalt is also Mutanda. Nickel, obviously, Koniambo, we can update on that as well. And coal, some of the recovery, both in South Africa, Australia as well as bringing Cerrejón as we go forward from those particular businesses. So something to look forward to across all those businesses. I think the cost structures are broadly covered on '20 and given the reasons as to how that's tracked as a function of volumes as well as byproducts. And finishing up on '21, you can see the buildup at the illustrative spot cash flows, $21 billion EBITDA with $11.5 billion of free cash flow. The Industrial is $18.8 billion. There's more details on Page 26. At $3 billion of Marketing, that's not where we'll hit Marketing this year based on guidance. That's a spot annualized, which is middle of the range, $2.7 billion EBIT plus depreciation of $300 million. Copper, obviously; the largest there is zinc, as we spoke about; nickel; that's coal moving to $5.9 billion; Marketing; and then we've got $5.2 billion of interest and taxes; and $5.1 billion of CapEx holding at that line. So very strong position through the first half and going forward in the business. So I'll hand over back to Gary to wrap it up.
Gary Nagle: Thanks, Steve. As you've heard, we've had a terrific first half. A lot of hard work still to do in the second half of the year. But the business is rightly positioned. We have a terrific Industrial business with a portfolio of large-scale, long-life, high-margin assets. That business has the right commodities. It's in the commodities that are set up for the green revolution. We have all the -- we're on the bottom end of the cost curve across the business, which certainly sets us up for higher cash generation, higher margins as we go forward. Complementing that, we have a very unique and world-class Marketing business that has not only countercyclical but has delivered year in, year out within the range that we've guided to the market and continues to perform exceptionally well in today's market. We have a recycling business which is growing in our business and really provides an input into this green revolution that we're part of and some -- an area that we continue to focus on. Our climate change strategy, as we said, is sector-leading. It's something that has also been quite very well received by investor community. And we believe we are doing the right thing for the company and certainly the right thing for the world. As we go forward into the second half of the year, we'll continue our focus on -- our unrelenting focus on safety to ensure we keep our people safe every day. Peter and his team focusing on our operational excellence. And at the same time, we maintain a very strong capital allocation framework in terms of how we grow this business. And as Steve talked about, our balance sheet delevered a lot faster than we thought. And as a result of that, very pleased to be able to provide additional returns to our shareholders by way of the top-up dividend. So with that, we'll turn it over to you guys for questions.
Operator: [Operator Instructions] Your first question comes from the line of Alain Gabriel of Morgan Stanley.
Alain Gabriel: I have a couple of questions. Firstly, Gary, this is your first results presentation as the CEO of Glencore. Your messaging has been consistent so far. If I interpret it correctly, that you do not intend to make any radical changes to your predecessor's philosophy in how Glencore is run. But there must be things that you are thinking about or doing differently, especially in the context of the new Board of Directors or changes of the Board of Directors. What will you do differently? And as an extension to this question, what is at the top of your priority action list by order of urgency, of course, outside of health and safety?
Gary Nagle: Alain, thanks very much. Look, I mean Ivan has left us a terrific base of assets, a terrific Marketing business, and we certainly are not going to fix anything that's not broken. The business is set up and, as you've seen, generated terrific cash in the first half of the year, and we'll continue to do that. So in terms of doing things differently, I don't think you can expect radical changes because we're not going to fix what's not broken. I did mention safety. Of course, that's going to be unrelenting for us. We need to watch that very carefully. We've got a couple of projects on the go that we want to make sure we see through. We want to ensure that the ramp-up of Zhairem and the recommissioning of Line 2 of Koniambo were done successfully and on time. So those will be key focus areas for us. We want to ensure that the climate commitment that we've made, we keep to that.  We ensure that we've put that commitment out to the market, and we will keep to that and prove that, that is something that we're serious about. And going forward, we'll make sure that we maintain the strong capital discipline and pay dividends to our shareholders. So I don't think, Alain, you can expect any major changes from a very disciplined way of running this business.
Operator: Your next question comes from the line of Jack O'Brien of Goldman Sachs.
Jack O'Brien: Just slightly following up on Alain's first question there. It sounds like it will be, as you say, not to expect radical changes going forward. Perhaps you could just touch somewhat more on the coal portfolio. Clearly, the business is looking extremely strong as we head into the second half. Would love just to hear any thoughts you have on sort of how that market is looking given the current coal ban in China where the majority of your coal is currently being shipped. How we can think about sort of portfolio mix adjustments? [indiscernible] just if you could clarify on the proportion that is sold to Japan, so when we think about those contracts that are fixed.
Gary Nagle: Jack, thanks very much. The coal business is set up very well. As you know, last year, we capped production in response to the market. We didn't want to produce tonnes that were not adding value that the market didn't need. And we believe that the recent pickup in the market, not only related to that, but that contributed to the tightness in the market because we didn't oversupply the market with tonnes they didn't need. And as Steve mentioned, we've got some real tailwinds going into the second half of the year. And you've seen some terrific prices out of Newcastle, out of Richards Bay. So the market is looking very strong and remains very strong. With respect to China, China is still not accepting Australian cargoes. But the trade routes have adjusted quite quickly. We, through our portfolio, both through the Marketing business and through our Industrial asset business, have been able to supply coal into China out of places like South Africa, which historically hasn't taken South African coal for probably 7 or 8 years now. It's now taking South African coal. And through our marketing traded book, we've been able to supply coal into China from our Indonesian and Russian book.  And as a result, the trade routes have adjusted quite significantly and quite quickly. And our Australian coal, we're placing into alternate markets or markets where gaps have opened because the South African, Indonesian and Russian have moved into Australia, leading gaps for our Australia -- into China, leaving gaps for our Australian coal. So we've adapted very quickly. The market has adapted very quickly. And in fact, some of these disruptions and dislocations in the market have been quite beneficial for us because our trading business has been able to take advantage of these arbitrages that have opened up and have printed a good first half trading results. So we're very pleased with that. Going forward, coal remains -- coal outlook remains very strong. We've seen that on the supply side, very few new mines coming on, largely through licensing issues and regulatory issues. And demand remains incredibly strong. High electricity generation, particularly through the Asian region, LNG prices which competes with coal on an energy basis and a usage basis in pipelines across Southeast Asia. LNG price is much higher, which has given further impetus to current coal prices. So as we go forward, the coal portfolio is uniquely and well set up. We will continue to run down our production as per our commitment, which contributes even to a tighter market given the increased demand. And we look forward to healthy returns in that business.
Operator: Your next question comes from the line of Liam Fitzpatrick of Deutsche Bank.
Liam Fitzpatrick: Two questions from my side. Firstly, on the ag business. If we look at ag returns generally, they've improved materially over the last 6 to 12 months. But it seems to me that because of the ownership structure, the market gives you very little value for that business. So what is the medium-term strategy there? And should we be thinking about a further sell down or exit further down the line? And second question, on Koniambo, I mean how much longer can you persist with this asset given what we've seen over the last few years?
Gary Nagle: Okay. I'll answer the second one first, and maybe Steve can talk on the ag. Koniambo is currently -- we have the second line being rebuilt right now. Commissioning will take place towards the end of this month or early next month. And we're in a critical phase of that project. We will assess how that ramp-up goes, how production goes, how cost-effective it is. And the next 6 to 12 months, we will be undertaking a thorough review of that asset based on its performance and based on its latest work being done. And we'll be able to come back to the market to -- or back to you guys within -- in 6 to 9 months to let you know what our views are.
Steven Kalmin: Thanks, Liam. I'm pleased you actually brought up the ag business because I probably should have mentioned it on the call in terms of the actual performance through the marketing side because it does get a little bit sort of lost in the overall part of the Glencore business. We did report close to $200 million just for the first half. It was our equity pickup. So that's after interest tax, net income within that business. So it is both annualizing and expected to be over $1 billion EBITDA within that business for the full year, which is at very strong levels as, by the way, the whole sector, as you said, is performing well. So it's clearly in our interest, both in the management of that business, but also in engagement with you guys in the investor community to sort of demonstrate and see how we can unmark and validate some of the equity value and get it properly reflected because it is -- it's not cash flow in the business yet.  It's not something you can multiply or do something. They have largely -- since we closed that transaction at the end of '16, which was an equity value of sort of $6.25 billion there, so 50% was $3.15-or-so billion at the time. They've reinvested the -- I mean the balance sheet is very strong. The earnings are very strong. And that business should certainly have a value at least what it's had at the time of that close in 2016, also given the strengthening in their own balance sheet and also the ability then to participate hopefully in some industry consolidation. There's always chatters never too far from people's minds in that particular sector. We'd be a sort of keen party as a shareholder in sort of participating in some industry consolidation. And probably that ultimately will be the validation of value within that particular business. At the moment, we can probably stand on our heads, and there's nothing more we can do other than to say that business is sort of performing well. And you can reflect that somewhere as a pocket of value that will be unlocked and validated at some particular point in time. But it's a very pleasing performance, and the full year is looking very good for that business.
Liam Fitzpatrick: Steve, could I just briefly follow up on that? I mean we've -- I think since that initial sell down, I think it was 4 or 5 years ago, so we've been -- it feels like we've been waiting for a period of time. I mean, is there a degree of urgency there? Should we expect things over the next 12 months? Or is it still very much a long-term play there?
Steven Kalmin: Certainly not urgency for the sake of urgency, but there is discussions on various fronts, absolutely, in that business. But you never know when things -- I mean some things come quickly, some things can take years to obviously present themselves.  Even our Canadian partners, the whole structure for them, I think they're very long-term partners. But at some point in time, they could even call for an IPO in that business. I mean that would equally sort of validate some of the sort of economics and value in that business through our 50% as well. So very hard to say, Liam, other than something in some way, shape or form in that business will happen at some point.
Operator: Your next question comes from Jason Fairclough of Bank of America.
Jason Fairclough: Just a fairly simple question on coal production volumes. So you've talked about why we have lower production volumes again this year for a variety of reasons. But bottom line, if I look at '21 production, it's going to be off about 1/4 versus the 2019 peak. So you're now making changes to the portfolio, you're buying in the rest of Cerrejón. But then we've also got these new targets on reduced Scope 1, 2 and 3 emissions. So I guess, simple question, how should we think about the evolution of coal production volumes, not just over the next 6 months, but rather over the next few years? Is this 120 million tonne a year business? Or do we get back up to that 140 million level?
Gary Nagle: I think -- Jason, I think, look, the big move from '19 to '21 is obviously removing Prodeco out of our consolidated volumes, and that won't come back. I think the best way to look at it long term -- short term, we'll always adjust our production up and down in accordance with what the market needs and chase the right margins. We're not going to produce tonnes for the sake of producing tonnes. In the medium to longer term, the best way to model that is to just model it in accordance with our climate change commitments where we are -- our '19 base, where we'll be by 2026 is 15% down, give or take. That's where we'll be. And obviously, by 2035, we would have halved our production off the '19 base. And that's probably your best way to model it in the short to medium term to understand where production will go.
Jason Fairclough: So if I...
Steven Kalmin: I mean also, hopefully, Jason, as it moves down there, you're obviously making more on less tonnes also because you also should be managing a portfolio as well where there might be some brownfield extensions or a few leases or some other CapEx that goes in. It's in the higher-quality, higher-margin business, and you might see some domestic business decline, some other sort of lower quality. These are things that are more likely to sort of decline at a steeper rate as well.
Jason Fairclough: So as I'm thinking out to '22, '23, that would be 15% down on the 140 million?
Gary Nagle: No, I mean not specifically that. I mean on the 140 million, you know where we are this year. It's not a linear reduction between now and 2026 off the '19 numbers. As you know, with these operations, some of them come off. Some of them sort of peak in certain years depending on what strip ratio is, depends on longwall moves, depends on qualities and the likes. So going forward, I mean I'm not -- I don't know how much guidance we can give on that, but sort of similar numbers to where we are at the moment. And then you'll see off the '19 -- off the '19 base, you'll see us down approximately 15% by 2026.
Steven Kalmin: But Jason, you won't see us -- obviously, in December, we will go out sort of -- obviously, '21, if you've got a good sense of that, will go out sort of '22 for sort of 4 years or so. So you'll see that sort of 4-year period in this early sort of 15% overall business target. And we also will be in a position to pro forma for sort of Cerrejón, and you can see that trajectory as well at that point.
Jason Fairclough: Okay. But the Cerrejón volumes are included ultimately in these target volumes and target reductions? Are you actually moving the, if you like, the base up on the back of that?
Steven Kalmin: You move the base up, but it declines then with those targets. So you're not sort of -- you sort of go back to [29], you pro forma for sort of as if you'd own 100%, and then you reflect the 15%, 50% ultimately to net zero. So we'll call that as part of the December update as well as through the sort of bigger climate report, which we do on an annual basis, that will also sort of adjust for the Cerrejón pro forma and the adjusted targets and put some of the sort of graphs accordingly that can answer some of the questions exactly what you're asking.
Operator: Your next question comes from the line of Sergey Donskoy of SG CIB.
Sergey Donskoy: I have 2 questions. One about Mutanda restart. If you could provide some color on your medium-term targets in terms of production volumes? And also, what sort of a mine life should we expect from oxides only? And where will you be in a position to decide on expansion into sulfides? So that's first extended question. And second question is on RMI increase. There was an uptick, I think, of about $1.5 billion from end last year. Should we expect RMIs normalizing towards end of the year?
Gary Nagle: Sergey, on the Mutanda restart, at our December Investor Day, we'll provide significant more detail on where we are. At the moment, we are starting the ramp-up, starting to come back into production. There's a little bit of volume there in the second half of the year that's coming from existing stockpiles that's being processed right now. The team is working on the ramp-up schedule, the ramp-up plan. We'll be able to provide details on capital and costs and certainly the mine plan as we go along as we mine the oxides and then transition into the sulfides. What we will be doing, though, is doing it pretty responsibly. We certainly don't want to bring volume into the market that isn't needed. So we will take our time with the ramp-up to ensure we can match the supply that comes from Mutanda with the demand growth that we see in the market.
Steven Kalmin: And in terms of RMI, one point, I mean given the price environment that we experienced in the first half of the year, we've actually contained RMI increase to just 8%, I think, is what the amount went off. But you've seen price increases of aluminum was 27%; zinc, 9%; copper, 21%; the oil spectrum was 45%. So underlying, actually, RMI, we've got significantly less volumes actually than we were carrying at the end of June already. It's sort of countercyclical. Last year was a great year for Contango storage plays. It works well. It's what contributed part of the returns both in the metals and the energy side. We were carrying through last year and also at the end of last year more-than-usual levels of oil and metal as well within the books. The actual volumes of that have come down significantly. But it's purely the price impact that then took that overall level up the 8%, which taking into account the price movements during the year, you can deduce from that, that volumes are actually significantly down. Now as we look towards the end of the year, if prices stay where they are, I would think broadly flat. If prices go up another 10%, obviously, I'd have to rerun our spot illustrative cash flow numbers, which would be materially higher. But the consequence of that, which is a luxury problem, the way I like to think of it is that RMI could even tick up a bit. Or if prices go down a bit, then it may come down a bit.  That's going to be the major driver now because volumes have -- there's still some volumes tied up that would be beyond the sort of core, if you like, sort of commercial terms. So some of those could be less attractive, and we may still deliver in and reduce our inventory somewhat between now and the end of the year that, in a stable pricing environment, could maybe get back down to close to 20%. But I think you just kind of watch pricing there in terms of the major factor there.
Operator: Your next question comes from the line of Danielle Chigumira of Bernstein.
Danielle Chigumira: A couple for me. Firstly, on ESG, it's great to see some more ambitious reduction targets. But you show in the appendix that the H1 emissions are going in the wrong direction. So how are you tackling this short term? And secondly, just on marketing EBIT, I know you made some comments earlier. But clearly, you would need to fall about 20% sequentially to get to guidance. So could you give some color on the headwinds that you're seeing currently, if any, in the second half?
Gary Nagle: Danielle, I'll answer the first question on ESG. And yes, I mean ESG is critical -- maybe on the second question, if you can just clarify after I'm done on the first question. ESG is critical and front and center for us, and we're very committed to our climate change commitment, and we will keep to that regardless. Obviously, there's a little bit of noise in the numbers if you compare first half to last year given the current situation. The first half of last year was severely impacted by COVID. We had major production disruptions and restrictions within the business. And obviously, things picked up in the second half of this year -- or in the first -- second half of last year, first half of this year. So on a half-on-half comparison, you would see some variances, which perhaps are not consistent with our longer-term ambitions, but that's just a reestablishing the business off a very volatile period as a result of COVID. Going forward, as I think we pointed out to Jason, we've got our commitment of a 15% reduction in Scope 1, 2 and 3 emissions by 2026, and we'll keep to that. And then obviously, the improved 50% reduction by 2035 off our '19 year base, and that will be delivered without a doubt. On the second question, perhaps you can clarify, I think we just missed -- we missed some of the words.
Danielle Chigumira: Sure. Just on the marketing guidance, mechanically, you'd have to fall over 20% half-on-half to get to your top end of the guidance. So what headwinds are you seeing to get you there?
Steven Kalmin: I mean there's no headwinds. It's just -- and again, sort of mechanically, we were at sort of $1.8 billion. If we're at $3.2 billion, it would be $1.4 billion, which we -- yes, I mean, mathematically, it's a reduction on H1. But also it is, if you annualize $1.4 billion, it's a $2.8 billion annual result, which is still a good result by historical standards and within the top half of our range. So it wouldn't be fair to just sort of extrapolate or double $1.8 billion, $3.6 billion. I'm not saying -- I mean it's not impossible. But just where we are at the moment, of course, you're not going to reach that far and saying we're going to double up H1. It was a very good year across the business. Coal, Gary mentioned earlier on, was a strong performance there. The oil business continued well across all the metals businesses. They were all -- we said it was a broad-based healthy contribution from all departments. Statistically, that doesn't always happen over a period of 6 months. So if all things sort of step into line again, then yes, you can obviously do higher than the $3.2 billion. But we think it's a sensible guidance and a reconfirmation thereof and would still require a delivery in H2 in the upper half of our full year ranges for that year -- for that period.
Operator: The next question comes from Myles Allsop of UBS.
Myles Allsop: Just a couple of questions. First of all, on M&A more broadly and Cerrejón in particular. With Cerrejón, what are the potential issues? I mean how -- what are the hurdles to get through? Or is -- do you think that deal is pretty much in the bag? And how are you thinking about M&A going forward? Will you still look opportunistically across the different commodities? Or do you see this more as a period of consolidation and cleaning out the portfolio? The second question is around cash returns. And obviously, you've gone through a balanced approach with the first half with a buyback and an extra dividend. What was the rationale behind that? And how should we think about kind of returns going forward when you're generating so much more cash flow?
Gary Nagle: Yes, I'll answer on the M&A and Cerrejón. I mean, Cerrejón, obviously, the transaction was only signed at the end of June when we announced it. And there's a number of regulatory approvals required. We don't expect or anticipate any material issues out of that process. As you know, it does take some time. There are a number of jurisdictions where we need to file applications. So we expect closing sometime during the first half of 2022, but certainly, no expectation of any issues around that. So that's looking fine. M&A going forward, obviously, our focus in the business has been to delever the balance sheet, which we've done successfully.  As we've mentioned in our presentation, we've got a terrific commodity suite of assets or assets within the commodities that we want to be in, those that are powering the electrification of mobility and the green wave. And that's where -- that's the area that we want to remain in. Right now, markets are good. We're not looking at anything specifically on M&A. We're focusing on ensuring we run our operations responsibly, effectively and kicking our cash back to shareholders as we stand today.
Steven Kalmin: And Myles, just in terms of, obviously, cash returns, it's not -- I mean, in some sense, it's obviously a judgment call. We have different shareholders across our base. You've got to sort of try and thread a reasonable needle across all that sort of stuff in terms of there is some people that would be massively clearly in favor and supportive of buybacks. There'd be others, let's say, pay me or cash, and I'll decide what I want to do with it in terms of whether it's reinvesting, which for them would achieve the sort of same effect in terms of equity value, and they can get whatever accretion, and that sort of comes from that. So it's a lot of engagement, and you, to some extent, broadly are half-half here, just sort of feels a nice goldilocks approach, and maybe that's a good approach also going forward. And that the fact we're doing a buyback, I think, itself should be a signal that we're comfortable doing that. We see value, not so much even cyclically because we'd rather the market have that call, but just a general how sustainability, pricing of cash flows, the sort of delivery of operational performance, the tonnes coming through the African copper business as well, the sort of coal margins, all those things in terms of sort of other valuation factors and discount rates and comfort with different countries.  These are things we're more comfortable clearly taking a call and happy to take a call on. In terms of what copper, zinc, coal prices are, I mean that's something we have a view on, but we're quite happy for the market to make their own call. But I mean the fact we're doing a buyback and then we -- and we won't always be doing buybacks. But when we do buybacks, that should be a signal that we see some strong accretion, some good value and happy to be like an M&A transaction, meeting hurdle rates within that particular transaction. But I think mix and match is the way of the future, and there'll always be an element of buybacks where we see that value, and we're happy to be back into that sort of decision. There will be times where we go 100% cash if that changes in terms of the thought process around just a call on cycles.
Operator: Your next question comes from the line of Ian Rossouw of Barclays.
Ian Rossouw: I've got 2 questions. Just the first one relates to the operational performance. I mean I just wanted to get a sense from you, Gary, if you're happy with the sort of volume ramp-up in operations. It seems like some of the -- I guess you're still downgrading volume guidance. I know in coal, that's market-related. But I guess, specifically in the zinc business, it seems like the Zhairem ramp-up is taking slightly longer. Maybe if you can just talk to that as well. And then just secondly, on the Marketing business and, I guess, just wanted to get your sense of regulatory risk. We've obviously seen the news flow about one of your ex-employees pleading guilty to corruption charges. And just wanted to get a sense from you around the risks in that business and, I guess, how going forward you can ensure that, that doesn't happen within the business.
Gary Nagle: Sure. Ian, on the operational performance, yes, slightly disappointing in some of our commodities and, as you raised in particular, zinc around Zhairem. Zhairem, obviously, the project ramp-up has been a little bit challenging. We had an incident where we had a fire at the DMS, which effectively destroyed the entire structure. And in terms of rebuilding that, that coincided with the COVID sort of shutdowns and the like. So it hasn't gone according to plan. I mean we've been in a bit of a strange time in the world and the fact that it's really -- that's the main area that we've suffered in terms of project ramp-up as a result of COVID. It's not that bad, though we are disappointed with it. Peter and his team are sending in a couple sort of fixes and ensuring that we can turbocharge that ramp-up and get it back to where it should be on the schedule. So we're not particularly concerned with it, but certainly disappointed that we didn't meet the target on Zhairem. On the Marketing business, yes, regulatory risk remains an issue for us. But where I get a lot of comfort on the Marketing business going forward is having spent a lot of time working with our compliance team on our compliance program, on our ethics program and the way we do business. We've really rolled that out extensively across the business to all levels of the business. We have a very strong assurance program, a very strong monitoring program, a raising concerns line, a KYC system that's best-in-class, sanction screening that is real time. So we've eliminated, in many parts of the business, intermediaries and agents, and we continue to do that. So we are really strengthening the systems-controlled processes around our Marketing business, and it's giving me a lot of comfort that the regulatory risk is strongly managed, strongly mitigated going forward and still able to provide significant returns to our business.
Ian Rossouw: Okay. Sorry, just on that, I guess the focus has always been on agency oil trading. Is that still something you will do going forward without, I guess, agents and intermediaries, as you say?
Gary Nagle: We don't have any intermediaries in our oil business. Our oil business doesn't rely on agents. It doesn't rely on intermediaries. It's an evolving business. It's a different business model to what perhaps was used even 5 or 10 years ago. And it's a business model that's proven to be very successful. We've made significant value gains over the last couple of years without the use of intermediaries and agents, and we don't plan to use them again in our oil business.
Operator: Your next question comes from the line of Sylvain Brunet of Exane BNP Paribas.
Sylvain Brunet: So first one to Gary, as the new CEO, what equity market narratives or narrative would you like to see change on Glencore? And then, Steve, perhaps if you could give us a bit more color around the higher corporate cost in the first half. Was there any one-offs we should restate for the full year?
Gary Nagle: Look, our equity market narrative is going to be one of consistency and of performance. We will, no doubt, have a -- and we do have a very strong capital allocation framework within this business, and we will allocate capital very much in line with that, and we'll be strict in terms of our guidelines. We will maintain a strong balance sheet. Steve talked about that in detail, but we will keep to the lower end of our net debt range, and we've achieved that already at $10.6 billion. And in line with those 2 issues, to the extent that we have additional cash, the idea is to kick that back to shareholders, whether it be by way of cash distributions or buybacks, as Steve talked to at length. Going forward, obviously, we'll focus on operational excellence at our business, safety and our very strong Marketing business, complemented by our recycling business. And given that we have the premier suite of commodity assets across our business, where we touch on all the key commodities for the decarbonization of the world, I think our equity narrative remains incredibly strong and get stronger as we go forward as we run down our coal business.
Steven Kalmin: And Sylvain, in terms of corporate costs, that's often -- there's a layer of sort of bonus pool and sort of compensation across the group that gets brought through that line itself rather than the underlying business sort of performance. It's obviously a cost within the business, and it's a cash flow driver within the business. But there might be some lags from time to time, depending on when those are finalized and sort of determined post-delivery of results. We tend to finalize a lot of the -- some of the pools and compensations around May, June, July period, which is around here. So in terms of the finalization, there can be a bit of catch-up sometimes in respect of -- so previous years, we know the marketing was very strong in 2020. So it's -- a lot of it's the wrap-up of some of those and the different provisions and the ultimate settlement of those. But -- and you also will see -- it historically can be a little bit more weighted H1 over H2. So we'll see a tick-up in that level with the business performing better in both the Industrial and Marketing, but that's all built into our illustrative annualized cash flow. So based off a -- off the sort of $21.8 billion number and coming down to $11.5 billion, it's in that sort of other category we have sort of reset that to where we expect corporate has sort of been.
Sylvain Brunet: Okay. Good. If I could, just the one follow-up question on ESG and ferroalloys in South Africa, which, as we know, is a pretty large share of Glencore Scope 1 and 2. Is there any technology you're looking at leveraging there to -- that would help you accelerate on the energy efficiency and scope production?
Gary Nagle: Yes. Look, I mean, obviously, it's quite challenged in terms of carbon content, our alloys business, largely on the Scope 2 given Eskom is the supplier of 90 -- sort of virtually -- or all the power in the country, and it's largely coal-fired. Fortunately, Eskom is on a program now to convert some of its coal-fired power stations into less carbon-intensive power and is looking at different forms of power, green energy, which will feed into our business. And that should have some medium- to longer-term mitigation on our Scope 2 emissions. We're also looking at a number of initiatives within the business. Japie and his team have got some great ideas with the head of our smelting, Amanda, who's looking at off-gas usage reheating. They're also looking at some virtual power arrangements of green power, working with Eskom and independent operators to look at what ideas we have around that. So it's certainly front and center for us. And the guys down in South Africa are focusing on implementing those medium- to longer-term strategies.
Operator: Your next question comes from Tyler Broda of RBC CM.
Tyler Broda: Just a question I have, I guess, is just Glencore has evolved in a different way than its peers. But now obviously, the mining business is a core part of the business. The exploration spending is a lot lower than your peers. You do have some organic growth coming through, but I guess, how do you think about that more from a holistic perspective? And then I guess, on the second question, just in terms of the asset tail, sort of how do you see -- how harsh do you think you need to be to get the business into the right shape from a sort of asset structure perspective?
Gary Nagle: Tyler, on the exploration spending, look, I don't think you're going to see too much exploration spending for us because exploration spending generally leads to greenfield operations, and I come from the same school as Ivan with respect to greenfield operations. We don't like them, and we won't be pursuing them. There's obviously exploration spending that gets spent around existing operations where we can do smart brownfield expansions, and we'll continue to do that. So greenfield or exploration spending is certainly not an indicator for us in terms of growth of the business because we won't be building greenfield operations by simply spending money drilling around and seeing what we can find.
Steven Kalmin: I mean, Tyler, it's not -- we don't specifically also separate it out, but we'd have tens of millions of near-mine exploration in regions around our different operations. So it would certainly be where one is targeting, obviously, different businesses. But it's not -- it wouldn't be in the single digits. I mean we're probably -- it would certainly be in excess of $100 million at least annually that we're spending, obviously, around all of our operations, resource conversion opportunities around in Kazakhstan, in South America, around Mount Isa. There's a lot of work that gets done in these regions as well. It's just not the kind of the virgin exploration spend, if you like.
Gary Nagle: And then I think just to answer your question, Tyler, on the asset -- on the tail assets per se. I mean we've had a number of processes on the go already, and we're reviewing all our portfolio to ensure we have the right portfolio, rightly structured sort of -- some sort of simplification. But it's not going to be a wholesale cut into our business. Our business is a strong business, and many of these assets provide significant value to us with respect to our trading operations or complementary to existing industrial assets. Our idea is we're not going to give running commentary on individual tail asset or whatever you want to call it, disposals. We will run through a process of the existing assets that we've identified and continue to identify that perhaps are not that core to our business anymore. And we will then sort of -- as they exit the portfolio, and we'll report back as we go forward.
Tyler Broda: No, I mean the exploration, Steve, no, I totally take on board. All of that was more to what Gary answered, very much on par for the course in terms of the outlook for greenfield.
Operator: Your final question comes from the line of Chris LaFemina of Jefferies.
Chris LaFemina: Your illustrative EBITDA and free cash flow numbers are obviously very impressive, and your commodity prices stay near current levels. That's obviously a very good outlook for you. But we are now unfortunately seeing another wave of COVID globally and notably in China. So wondering, first, if you're seeing any evidence of demand weakness, especially in China. And then also wondering about any impact at your mine sites from this current wave of COVID. I think it's getting worse here. Any operations being affected that weren't affected a couple of months ago?
Gary Nagle: Chris, we are not seeing particularly any particular demand weakness or demand disruption as a result of COVID at the moment. Obviously, the delta variant is a concern for all of us, and we are seeing various sort of peaks or infection rates rise in different parts of the world. But from a demand perspective, we have not seen any demand disruption as a result of it. We've seen, obviously, some correction in certain commodities around more policy. We've seen Chinese policy around steel and its impact on iron ore. You've seen the iron ore price drop from about [$220] to [$180] today as a result of their forecast steel cuts, but those steel cuts are related to economic measures and physical measures rather than COVID. So we haven't seen anything yet, but we watch it very closely because, obviously, it's a key part of our business. And in a sense, sort of these kind of disruptions do cause -- do create opportunities for us in our Marketing business. So it's something that we remain very, very much abreast of. On our mine sites, the impact has been minimal. We have some impact in South Africa with respect to absenteeism largely due to some of the restrictions in South Africa and some of the contact tracing, where if we have somebody who tests positive and the contact tracing means a number of people can't come to work. So we do have a little bit of an impact in South Africa. But generally, across the board, even today in Australia, you would have seen that the New South Wales Premier has called for a shutdown in the Hunter Valley. However, the coal mines are exempt from that, and our coal mines continue to operate at full production there. So we haven't seen anything material across the business as we stand today.
Operator: I'll now hand the call back to Gary to close.
Gary Nagle: I'd like to thank everybody for joining us today. I know it's maybe early or late for some in different parts of the world, but a very pleasing result that we've put out today. We're very glad that we could provide additional returns to our shareholders by way of a cash distribution and a buyback. And markets remain strong, and we look forward to a strong second half of the year and to report back to you at our Investor Day in December. Thanks very much, everyone.